Operator: Good morning, and welcome to the Gibson Energy Third Quarter 2016 Results Conference Call, in which management will review the financial results of the company for the three months ended September 30, 2016. I will now like to turn the meeting over to Ms. Tammi Price, Vice President of Finance and Corporate Services. Please go ahead.
Tammi Price: Thank you, Dillian, and thanks everyone for joining us this morning. During today’s call forward-looking statements may be made. These statements relate to future events or the company’s future performance, and will use words such as expect, should, estimate, forecast, believe, or similar terms. Forward-looking statements speak only as of today’s date, and undue reliance should not be placed on them, as they are subject to risks and uncertainties which could cause actual results to differ materially from those described in such statements. The company assumes no obligation to update any forward-looking statements made in today’s call. Any reference during today’s call to non-GAAP financial measures, such as EBITDA, adjusted EBITDA, pro forma adjusted EBITDA, distributable cash flow, or payout ratio, is a reference to financial measure excluding the effect of certain items that would impact comparability. For further information on forward-looking statements or non-GAAP financial measures used by Gibsons, please refer to the 2016 third quarter Management’s Discussion and Analysis issued yesterday by the company and in particular, the sections entitled forward-looking statements and non-GAAP financial measures. All financial amounts mentioned in today’s call are in Canadian dollars, unless otherwise stated. Participating on today’s call are Stew Hanlon, President and CEO; and Sean Brown, Chief Financial Officer. The format for the call will be that Stew will provide an overview of our results, and Sean will highlight a few items regarding our financial position and capital spending. This will be followed by a question-and-answer session. Cam Deller, our Manager of Investor Relations, and I will be available after the call to answer analysts modeling questions. With that, I’ll turn it over to Stew.
Stew Hanlon: Thanks, Tammi, and good morning everyone. I’m pleased to have this opportunity to update you on our third quarter results which were highlighted by a 44% sequential improvement in adjusted EBITDA, albeit from a very low second quarter basis. Our third quarter results benefited from a record EBITDA contribution from our Hardisty Terminal, as well as our modestly improved underlying fundamentals in most of our activity sensitive businesses. This improvement was also aided in part by the absence of certain non-recurring operational impacts dealt in the second quarter. Additionally, these third quarter gains were achieved despite encountering some weather-related headwinds, including an exceedingly wet summer in Western Canada that reduced planned road asphalt sales and warmer than average temperatures in certain agricultural areas which impacted propane demand for crop drying within our Wholesale segment. Our ongoing focus on growing the cash flow from our Infrastructure segment has helped us successfully to navigate the difficult business environment we’ve experienced over the past two years. Activity sensitive businesses were impacted over the same timeframe by a dramatic slowdown in industry spending levels and certain of our wholesale activities were impacted by the result in supply response. In spite of this, we have been able to increase the run rate EBITDA performance of our Infrastructure segment by approximately 30% through development and commissioning of the backlog of infrastructure projects that are underpinned by our largest and most credit worthy customers. As I will discuss in greater detail later, we have continued to progress this project backlog subsequent to the third quarter, and in some cases on a timeline well ahead of the original schedule by achieving better than expected capital efficiencies. At the same time, we’ve added to our fleet of secured development projects, and in this regard we are extremely pleased to announce the latest growth projected in September 6 press release that’s highlighted the contracting of an additional 800,000 barrels of storage at our Edmonton Terminal. Touching on the third quarter business fundamentals, the recent stability in crude oil prices and the enhanced capital efficiencies that our customers have secured over the past several quarters that they have secured over this over the past several quarters prompted a modest increase in overall activity levels. The U.S. onshore rig count increased by 20% in the third quarter, and on this side of the border we saw 27% increase in the active rig count despite many operators being slowed by unseasonably wet weather. But I’m pleased to see a continuation of the slow and steady improvement in industry activity levels and of course the positive influence on our financial results. Generally speaking, the North American midstream industry requires greater and more extensive development activities which would reverse the production, volume declines that have prevailed over the past several quarters. At this point, approximately 50% of all oil directed drilling activity in the U.S. is currently targeting multi-zone horizons within the Permian Basin. Here in Canada, approximately 60% of activity is centered in select oil and liquid rig pit natural gas horizons, including the Montney, and other select plays in the deep basin and the Viking formation in southwestern Saskatoon. Reflecting the benefits of our broad operational footprint, we have exposure to these emerging parts of strength, but also to numerous other players that should see incremental capital allocation as commodity prices and cost structures align. In this regard, we do expect a gradual broadening and expansion of activity levels as commodity price environment continues to improve. Importantly, we have maintained a high degree of capacity in our activity sensitive businesses, and what we view is all the key basins. And with competitor attrition levels increasing, we are positioned to capture significant cash flow upside as conditions improve. As this recovery slowly takes root, we are realizing the benefits of cost realignment initiatives that we instituted in the first quarter was sequentially proven in the third quarter operating results within our business segments and at the corporate level. We remain committed to this strategy of focused cost control, operational discipline and efficient capital spending to best position the company for success as the industry continues to stabilize. Further positioning the company for success, we are advancing the formal process to explore the potential sale of our industrial propane business. We have moved into the second stage of a planned two-stage process and have recently moved forward with a select number of qualified interested counterparties. Assuming a successful sale, expect to reinvest a significant portion of the net proceeds into our 2017 and 2018 growth capital projects, they’re highly weighted towards our Infrastructure segment. This type of investment is represented by our highest risk adjusted return projects which are stability of cash flows and long-term benefits for our shareholders. Additional uses of the net proceeds could include debt repayment or general corporate purposes. I look forward to updating you on this initiative again at the appropriate juncture. I will now discuss the individual segments of our business in more detail. Segment profit of $52 million in our Infrastructure segment represents a quarterly – a record quarterly achievement. This successful was supported by record EBITDA contributions generated at our Hardisty Terminal with a commissioning of our 500,000 barrels of contracted storage capacity early in September, and the recovery of throughput volumes from the forest fire related lows posted in Q2. Additional support in the third quarter came from the Moose Jaw Facility returning to full EBITDA contribution after an extended turnaround in the second quarter. As I noted earlier, we successfully commissioned a large number of storage tank and pipeline connection infrastructure projects subsequent to the end of the third quarter. The 300,000 barrel storage project and dedicated rail loading facility for Statoil at Edmonton was placed into service in October as scheduled, bringing total Edmonton’s storage capacity to 900,000 barrels. Also in October, we commissioned two new assets at our Hardisty Terminal, a 300,000 barrel operational tank and a second 400,000 barrel tank which is underpinned by long-term fixed-fee contract. Moving to significantly improved development efficiencies and favorable weather conditions, we also advance the remaining 1.7 million barrels of storage capacity under development at Hardisty to completion, well ahead of the original planned in-service dates. In conjunction with these early deliveries, we have secured commercial contracts for some of these assets on a short-term basis as applicable, until our customers who have backed up the projects are prepared – have prepared their operations for delivery. In aggregate, the completion of these projects was delivered under budget and we expect to realize cash flows earlier than anticipated, albeit at lower interim rates in some cases owning to the bridging nature of these contracts. Considering the tranche of tanks we recently placed into service and the commissioning schedule for the two new tanks under development at our Edmonton Terminal, we will continue to see growth within our Infrastructure segment into the 2018 timeframe. Over and above these secured growth projects, we continue to advance our pipeline of Commercial Development opportunities that would success, will result in the construction of additional storage and connection infrastructure. Our key customer continues to gain operating costs and technical efficiencies in current oil sales operations and the capital costs environment has improved as the oil price strip. I guess this backdrop; we believe that oil sands will continue beyond the near-term and a little pressed and more modest phase. This growth will continue to be a drive of demand for our terminal infrastructure. Gibsons is well positioned to capture these opportunities, they convert them into additional visible cash flow growth. Segment profit in our Logistics segment improved materially in the third quarter to $12 million. The volumes accrued in other products haul were relatively consistent with the second quarter. We achieved a 15% sequential increase in associated revenuers with longer haul length influencing the sales mix. This combined to a slowly improving demand for our ancillary wellsite services, and the cost efficiencies, we have driven into the business over the last several quarters enabled growth margin expansion in third quarter. The green chutes we identified is emerging in the second quarter further evidenced themselves in the third quarter. Although industry activity levels in 2016 continue to track significantly below 2015, the year-over-year difference is slowly narrowing. Year-over-year licensing activity is up, and based on a broad customer dialogue, we expect to measure basis improvement in activity levels through the fourth quarter. Looking further ahead, our customers have recently began to formalize a 2017 development plans as early indications point to a meaning full increase in annual capital spending. While we are pleased to see these positive indications, it is important to note that excess capacity remains on the side lines with respect to many of our business lines and pricing competition remains intense. Based of these observations, we expect to measure a consistent improvement in our Logistics business as we progress into 2017. Our Wholesale business delivered a modest improvement in segment profit in the third quarter, although at level below our early expectations as wet weather negatively impacted road asphalt sales in the quarter. Additionally, segment profit in the third quarter $1.3 million was negatively impacted by noise-related to our hedging activities as part of the normal course of business. Similar to the first half of 2016, the underlying business environment in the third quarter was characterized by narrow and stable commodity price differentials that continue to weigh on crude oil, diluent and other NGL margin opportunities. Specifically, we experienced unusually stable and lower than expected Canadian crude price differentials in the quarter, as oil sands volumes were slow to ramp up from the forest fire impacted levels in the second quarter. Due to declining and worker tail supply from certain Northeast U.S. shale basins, comprising dynamic within other NLG markets did not offer profitable margin opportunities over and above the transportation costs, resulting in diminished opportunity for location driven rail movements. This resulted in a 20% year-over-year decline in other NGL sales lines and less than optimal utilization of our rail car fleet in the quarter. In reaction to these market conditions, we have been actively reducing our fleet of rail cars – excuse me, my apologies. In reaction to these market conditions, we have been actively reducing our fleet of leased rail cars to match the reduced margin opportunities. We expect annual run rate cost savings of approximately $4 million by the end of 2016, which increases to an aggregate annual run rate cost saving of $7 million once this initiative is competed in 2017. Similar to the first half of 2016, our wholesale team was focused on an underlying strategy to maximize asset utilization and throughput rates within our other business segments. Our outlook for this segment remains constant as we move in the 2017 with an expectation for improved crude oil opportunities as growing oil sands supply meets constrained export pipeline capacity. Additionally, we continue to expect seasonal demands – seasonal demand gains for propane and other NGLs as the winter months approach. Finally, we continue to feel an increasing number of inbound customer enquiries about pricing and the availability of drilling fluids which could provide cash flow gains within our propane refined product sales. Segment profit of $2 million in our Industrial Propane segment was down approximately $1 million over the same period last year, owing predominately to lower oilfield demand and veining construction activity in Western Canada. While overall volumes were down 20% over the same period last year, I’m pleased to highlight that oilfield volumes were up 7% sequentially in the third quarter, was supported from improving actively levels and the return of previously pretailed heavy oil volumes. As always our business model which employs a rack plus pricing scheme, proved us resilient for stable gross margins on a per unit basis in the third quarter. Finally, our cost realignment initiatives again demonstrated success with an approximate 13% reduction in third quarter overhead expenses over the same period last year. As the high demand winter months approach, our outlook for this business is positive. We expect the improving health of our oil and gas customers in Western Canada coupled with more normal weather conditions, will provide support for cash flow growth in the coming quarters. So in summary, our third quarter results will mark an important milestone in this long drawn-out commodity price cycle. It has always been difficult to call the bottom in this industry, particularly so when geopolitical influences are involved. I guess the backdrop of recent improvements which we are cautiously optimistic will continue. We will remain focused on cost control, operational discipline and partnering with our costumers to help them prepare for increased activity levels in the coming year. We will also remain focused on the execution of our growth projects currently underway and a successful execution of new long-term integrity contracts that will enable the continued growth of our infrastructure footprint. I’ll now pass it over to Sean, who will discuss our capital expenditures and financial position. Sean?
Sean Brown: Thanks, Stew. To start, I’d like to highlight Gibsons’ capital expenditures in the third quarter of $65 million; $60 million of which was spent on growth capital and $5 million of which was spent on upgrade and replacing capital. Our growth capital expenditures were primarily directed towards completing the following key initiatives; the 300,000 barrels of tank in expansion of related infrastructure at Edmonton and the storage in tank expansion projects on both East and West sides of the Hardisty Terminal. As Stew noted earlier, we made tremendous strides with our growth capital programs over the past several months, advancing many of our construction projects materially ahead of their plan development timelines. We expect to accelerate development timeline when coupled with the overall cost savings we counted on the projects will result in 2016 growth capital expenditures remaining largely in line with earlier guidance of roughly $225 million. That being said, as a natural consequence of the accelerated development that we achieved on these projects, our outlook for growth capital spending in 2017 will be lower than the preliminary range of $200 million to $300 million that we previously provided. We are currently formalizing 2017 plans. And similar to prior years, we’ll announce the outcome of our capital budgeting process in early December. At this stage of the process we continue to expect approximately 90% of our growth capital spending in 2017 to be allocated to our Infrastructure segment. Again, while we’re still engaged in the budgeting process for 2017, looking our balance sheet at the end of the third quarter, we remain comfortable that our current leverage and liquidity profile will support our 2017 capital expenditure and dividend plans. In this regard, our debt to debt plus capital ratio is 42%. Our leverage ratio, total net debt to trailing 12 month pro forma adjusted EBITDA was 4.2 times. And our interest coverage ratio was 3.1 times. At the end of the third quarter, we had $95 million of cash and remind undrawn in our $500 million revolving credit facility. As a result of the earlier than scheduled completion of storage capacity at Hardisty, we will also receive cash flows in these assets earlier than originally expected. This coupled with an expectation for lower than originally anticipated capital expenditure requirement, will provide an additional liquidity buffer for our 2017 business plans. As Stew mentioned, net proceeds from the potential sale of our Industrial Propane segment will be earmarked to fund organic growth projects, repay debt or for general corporate purposes, while leaving ample capacity in our revolving line of credit. Additionally, the receipt of these potential net sales proceeds will offer the ability to capture incremental growth opportunities above and beyond our 2017 expenditure plan, if attracted prospects are right during the year. The company declares dividends of a $176 million in the 12 months ending September 30, 2016. As we progressed through 2016, our payout ratio has increasing trended higher as cash flows and certain of our activity sensitive businesses remained below prior year levels. Now with standing this, we remained and continue to remain comfortable on our outlook for an improving dividend payout level as we aggressed through 2017, due to our high level of visibility for infrastructure driven stable cash flow growth. That concludes my comments, so I will turn it back to Stew.
Stew Hanlont: Thanks, Sean. To summarize, we are pleased with progression shown in our third quarter results and the advancement we have made with our development initiatives. Despite a point of view that our recovery in our business environment is emerging, we believe the phase will be modest. Additionally, we expect commodity prices will likely to be ranged around by a new supply and demand reality that favors market forces and supply costs of shorter cycle of share development. As in past downturns, the strong have survived, and subsequently thrived by adapting to the environment. Gibson has adapted too. We’ve driven sustainable improvements into our cost structure, positioning us to be leaner and more efficient in our operations. Additionally, we have learned some important lessons along the way. Our decision to accelerate our portfolio shift further towards infrastructure through exploring the potential sale of industrial propane is a very good example of this. That concludes our prepared comments. Operator, at this time we’d like to open the call for questions please.
Operator: Certainly. [Operator Instructions]. We do have a first question from Linda Ezergailis from T.D. Securities. Please go ahead.
Linda Ezergailis: Thank you. I’m wondering if you could give us some more color on how you accelerated and the timeline and the costs containment in our CapEx too low for your Hardisty tanks to be accelerated? Is this a systemic change in your approach to construction? And we can kind of assume future project timelines might be compressed in at a lower price or is there something kind of one-time in nature that allows you to benefit from this dynamic?
Stew Hanlon: Thanks, Linda. As is the case in most things that are either unexpectedly good or unexpectedly bad, it’s really a confluence of events and we certainly did benefit from the slowdown in our industry activity which gave us better than anticipated access to labor and materials. That certainly impacted schedule, but more importantly it really impacted our costs – the costs of the project. And we did benefit from very, very conducive weather conditions throughout the build program, particularly for the Hardisty East and Hardisty West tankage projects, which gave us extremely good sort of construction weather conditions through the balance of last year and certainly as we progressed through the summer as well. Typically in a two year construction project like a big tank build out, you would build a little bit of flack into these schedules, in anticipation of bad weather and in anticipation of sort of supply disruptions and that sort of things. So albeit these tanks look like they’re very, very substantially ahead of schedule. They are on line ahead of schedule but not as materially as it sort of appears at first glance. So really I guess to answer your question if this is not necessarily a systemic change in the way, we would approach our capital projects extend plans, it’s really just, like I said the confluence of a number of factors all coming together to provide us with an extraordinary opportunity to be very, very efficient.
Linda Ezergailis: Great, thank you. And just an update on your thoughts on your propane business I realized that there’s a limit to what you can say, but can you talk about what sort of situation might make you reconsider selling it and not sell it would be – would it be did price and or does it look like a sale is very likely at this point?
Stew Hanlon: Well. Without commenting specifically on whether we think that a sale is likely or not I can say this, we are very, very pleased with the process and the progress that we’re making as we go through it. As Sean mentioned in his prepared remarks we’re in the second stage of a planned, two stage process. And we’re moving forward and like the progress that we see. To answer the second part of your question, what would not missing of the rails obviously, I would go to value if we don’t achieve the valuation that we expect and that we know that this franchise deserves then obviously we wouldn’t move forward with the sale at this time, having said that, like I said we are pleased with the progress.
Linda Ezergailis: Great. And maybe we can move on to redeploying any sort of proceeds, you mentioned infrastructure, obviously. Can you give us a sense of what you’re seeing out there in terms of M&A and in terms of volume of opportunities where they might be and pricing or is that less of a focus right now?
Stew Hanlon: I wouldn’t say that we are hyper focused on M&A absent looking for opportunities on the infrastructure side and then those opportunities in terms of M&A on the infrastructure side would typically be outside of the WCSB. We are looking at organic growth opportunities within the Western Canadian Sedimentary Basin as we alluded to. We continue to be cautiously optimistic about the continued oil sands volumetric growth and we know that we are well positioned at both Hardisty and Edmonton to capture that growth as it comes on stream. We are pleased with your continued and accelerating development in the Duvernay, the Montney, the Viking basins that we had mentioned. You go South of the border and I’d mentioned that the fully 50% of the activity is happening in the Permian, but you are starting to see rigs that comeback to the Bakken we’re seeing, increasing rigs counts in the SCOOP and STACK plays in the Anadarko or Mid-Continent region. So we’re looking for both organic and potentially small scale M&A opportunities in those basins as well. Pricing remains very, very competitive particularly for infrastructure assets, the mid-stream space is very competitive and there is a lot of capacity within the industry. Having said that, like I said we’ll look to take advantage of the franchises that we employ and the strengths in areas that we have had to move that part of the business forward. So redeploying proceeds from a potential sale of our propane business as Sean had mentioned, first and foremost we look to redeploy those proceeds into the growth of that project. Subsequent to that we would – we would look to ensure our balance sheet is strong by selective debt repayments and using that cash flow for other corporate purposes.
Linda Ezergailis: Okay. Thank you.
Operator: Thank you. The next question is from Ben Pham from BMO Capital Markets. Please go ahead.
Ben Pham: Okay, thanks. Good morning everybody. On the infrastructure projects that came in much, much earlier than expected. Did the take-or-pay contract – contract commissioning for next year, did that change at all with the change in scheduling?
Stew Hanlon: No. The contracts that we had entered into to underpin the development of all of those tanks remain intact. It’s due to – in some circumstances the contracts kick in at a certain pre-defined date and so the commissioning of these tanks in this infrastructure earlier than expected has allowed us in some circumstances to go down on a bridging nature, as I mentioned contractor these tanks to other customers to ensure that they are fully utilized as we commission them. But the actual nature of the contracts, the actual contracts underpinning the constructions that we entered into previously all of those contracts are intact and have not changed.
Ben Pham: Okay, great. The returns on these projects then are mostly higher than what you were anticipating with the short-term contracts coming in.
Stew Hanlon: Yes. We will enjoy cash flow contributions from these projects earlier than we had expected. Albeit like I said at lower rates than what we would typically talk about in terms of the contracts that underpin these developments. Because they are shorter term in and bridging nature contracts, but overall the returns from this project will be – will be enhanced.
Ben Pham: Okay and the second question on the quarter and your commentary on logistics, you highlighted a couple of a deltas there that is driving margin expansion, I am just wondering are you seeing those same trends process in this quarter is that your expectation for the long haul demand and [indiscernible] and may you can expand was it on why there is a high demand for those two areas?
Stew Hanlon: Some of those things ebb and flow, as market conditions present themselves we did see a return to activity in the oil sands, which provided us to the opportunity to get back into hauling your molten sulfur, petroleum coke and other materials that have been impacted negatively in the second quarter. And so that’s had a positive impact on our margin contributions as well and I would say that as the majority of the improvement in our margins really goes to the very disciplined efforts we’ve taken to driving cost efficiencies into the business, we have throughout our logistics segment been very, very focused on ensuring that we gain these efficiencies and that we keep them. And as you would expect that’s had a positive impact on our margins as well, so looking forward into the fourth quarter we don’t see a degradation in margins, I would expect that we’ve started to see some stability in the margins. But as I mentioned in our in my prepared remarks, the pricing pressures remain very, very strong as there is a lot of capacity in the industry. There’s a lot of a excess capacity in the trucking business and environmental services business et cetera. And so we would expect that pricing pressures are going to persist well into 2017 as we continue to see this recovery hopefully take hold and grow.
Ben Pham: Okay great and my last question switching to the wholesale and looking at the EBITDA sequentially, from Q2 where you had the impacts of wild fires, I mean you’re volumes are up from last quarter. And it seems like you’ve contained costs to some extent, was it mostly just FX differentials in and that’s driving that are there something else that was pressuring the Q3 in particular in wholesale.
Stew Hanlon: No as I’d mentioned in my in my remarks there are a number of different factors, you write volumes are up and we’re pleased with that. The majority of the value of our wholesale business off course is our ability to drive volumes to our own steel, to provide utilization to a trucking fleet, to provide volumes that go through our infrastructure assets as well and so we do have a very high focus on ensuring that we do move volumes through those assets. And I think our wholesale group does a particularly good job at that margins as I mentioned we’re depressed for a number of reasons, a slow recovery in terms of oil sands of volumes as they came in – came back on stream in the third quarter after the fire-related, forest fire related shutdowns in the second quarter. And in our wholesale business under refined products side in the third quarter we typically move a whole bunch of road asphalt at very, very good margins into the paving – road paving industry. We separate from that very, very anomalously wet and cool weather pattern particularly impacting this Saskatoon which is our major margin market area. And then on the NGL side there was a virtually no crop drying which is typically a fairly good contributor for us in the third quarter on the propane side and anomalously warm weather again which has basically not allowed us to move a lot of the volumes that we have in the storage that are contracted to our customers. When those volumes move the margins will be there and we would expect to sequential improvement in our wholesale business. So it’s really just a confluence of a bunch of events, but characterize it more importantly is just a continuation of very low commodity prices very stable differentials. And as we move through the fourth quarter we’re optimistic that that will improve somewhat.
Ben Pham: All right. Great, thanks Stew, thanks for clarifying all that.
Stew Hanlon: Thanks, Ben.
Operator: Thank you. Your next question is from Andrew Kuske from Credit Suisse. Please go ahead.
Andrew Kuske: Thank you, good morning. I guess the question for Stew and it’s just a little bit of how you’re thinking about the market dynamic in Western Canada, in relation to liquids movements. In particular on the crude side given, just some of the delays and the difficulties in building the pipe out of the province and how you think about that in relation to your comment on what you’re doing with the rail car leases.
Stew Hanlon: Yes. I think you have a great, great question. When I talked about sort of rightsizing our rail car fleet that was really pressure cars I was talking about on the NGL side, we employed a rail cars in both moving LPGs and NGLs which is a pressure price as well as crude and asphalt materials which is, the other – the other side of the fleet on the crude oil side. We remain well positioned with ample capacity on the rail car side as it relates to crude oil. So as we anticipate a continued tightening of export pipeline capacity downstream Hardisty in particular as we see continued growth in oil sand with projects like Fort Hills and others coming on stream. We would expect that that will manifest itself in a increased demand for our rail cars in our rail car fleet. Having said that, as you know the unit train facility that we have at Hardisty is really underpinned by long-term take-or-pay contracts and so albeit we would see increased activity on that side, it won’t have a manifestly improve the contribution from our rail infrastructure at Hardisty as that is underpinned by long-term contract.
Andrew Kuske: Okay, that’s helpful. And then maybe just a bigger, broader question as it relates to some of the activities of bigger players in Western Canada from an infrastructure standpoint that have clearly made some big bold moves and finance itself for the quarter. How do you think about just the balancing act of your core asset base in Western Canada and some of the operations in U.S. where do you see the best opportunities at this point of time to further grow the business?
Stew Hanlon: We were just that close to buy Spectra, but Enbridge beat us to it. As I think we’ve alluded to, we remained very, very positive with respect to our plans and our thought process around our major franchise in Western Canada which is franchises in Western Canada Hardisty and Edmonton, and we think we’re well positioned to take advantage of the growth – continued growth we expect to see in the WCSB. Having said that, the basins in the U.S. are typically larger, we believe that investment when it does return to the industry will return to those basins that they are most advantage. And so as we’ve seen thus far, the Permian – I think we’ll see a lot of investments as well, SCOOP/STACK, the Anadarko, D-J Basin. And to the lesser extent but importantly and particularly if the Codexis pipeline comes on stream, and we would expect to investments to return to the Bakken. So, yes, we remain focused on infrastructure opportunities in all of those basins. And I think to our advantage we have assets in operations and smart men and women working in all of those basins. And so our focus is both sides of the border. Our focus is infrastructure and our focus is a creative growth opportunities probably more organic but also as I had mentioned in relation to the question from Linda, smaller scale M&A opportunities, if they present themselves.
Andrew Kuske: Okay, that’s helpful. Thank you.
Stew Hanlon: Thank you.
Operator: The next question is from [indiscernible]. Please go ahead.
Unidentified Analyst: Thanks very much, and good morning to you. Congratulations on getting your tanks done. I had a schedule on under budget, I can sure everybody’s renovated a home, would love to be able to see them. And so if you can help us understand the phasing end of the contract, so is it fair to assume that mid next year is when those projects that were finished early that’s when their contracts would be kicking in? And what should we be thinking about for an interim rate for these in order that we can sort of nail down in 2017?
Stew Hanlon: I’ll answer the first part of your question which is the easier part to answer. The answer is yes. The contracts – and then some are related to second quarter, some are related to third quarter et cetera, but it is the back half of the years when we had plan to bring that infrastructure on and so you can expect those sort of regular contracted contributions from those assets during that timeframe. Without getting into too much detail around competitive pricing, I would say that the contracts that we have left in the interim for customers which include a number of different types of customers from producers to marketers, it really varies on the size of the tank, what is used – was for, the interruptible capability that we have within the tank, that sort of thing. So certainly – and I think as we’ve alluded to, the contribution from the interim contracting those tanks will be at lower rate than we wouldn’t have expected from the longer term contracts.
Unidentified Analyst: Okay.
Stew Hanlon: And I’d rather follow-up in terms of expectations from EBITDA without doing it publicly.
Unidentified Analyst: Okay. So this is a question for Sean. So Sean, with these tanks now put into service much earlier, your pool structure is very different for next year from a tax perspective. What should we thinking about for taxes for 2017?
Sean Brown: From 2017, that tanks Derrick I wasn’t expecting that question quite frankly. I think our expectation generally would be next year; certainly our cash taxes have been reduced this year. You’d have seen in the quarter, our expectation for next year would be that it would be more of a normalized level certainly, but I think that might probably best to follow-up on.
Stew Hanlon: I would say this Derrick [ph] I guess the CCA tools brought on by the additional infrastructure won’t have a material impact on our cash taxes position in 2017. These are long-term assets with very, very low depreciation rates from a tax perspective. So I wouldn’t expect – I wouldn’t expect it to have material impact.
Unidentified Analyst: Okay, that’s it. Congratulations to you by the way. Thanks.
Stew Hanlon: Thanks very much, Derrick, cheers.
Operator: Thank you. The next question is from Ian Woodward from CIBC World Markets. Please go ahead.
Ian Woodward: Thanks and good morning, calling on behalf of Rob Catellier today. So, just returning to the Industrial Propane sale, you mentioned that you entered the phase 2 of the two phases. And I was just wondering if there was any additional color you could give around timing of that please?
Stew Hanlon:
. :
Ian Woodward: Okay. And I mean, would that be something that you’d expect to come out with the capital plan that you mentioned in December or you view them as totally separate?
Stew Hanlon: They are completely separate. One is a process that will involve negotiations with interested parties, and the other process is something where we can put a pin on a map – pin on a calendar and say, we’re going to be in on this date, so they will be completely separate.
Ian Woodward: Make sense. And then just lastly on your comments around tuck-in M&A, I was just wondering what you’re seeing in terms of competition from maybe non-traditional investors and types of plantage money whether that’s had much of an impact on your opportunities sort of South of the border?
Stew Hanlon: Yes, certainly there are a number of different types of pools of capital that are available for investments. We will be extremely selective and we will take advantage of situations where we think we’ve got a competitive advantage and then that would probably be more operational then cost of capital kind of thing. So we would expect that if we find an creative opportunity we will be able to compete – we’d be able to compete almost – I guess almost anybody for it because we think we can bring more value to bear, but to your point there is a tremendous amount of capital available for investment in the industry and we are seeing that that manifest itself in competition for assets for sure.
Ian Woodward: Appreciate it. That’s all my questions. Thank you.
Stew Hanlon: Thank you.
Operator: Thank you. [Operator Instructions] The follow on question in from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan: Good morning. Just coming back to rail and I’m just wondering as we get closer and closer to a lot of this production coming on, as you mentioned Stew, the pipes generally being fall. Are you seeing any kind of directional pickup and interest for Hardisty expansion?
Stew Hanlon: We haven’t seen the potential tightness in pipe capacity manifest itself in a tremendous amount of interest in expansion. There’s a tremendous amount of capacity for crude by rail out of Western Canada today, it wasn’t Edmonton and Hardisty. I think customers know that sort of our lead time in terms of being able to double the capacity at Hardisty is somewhere just inside a year’s sort of lead time that we would need. And so I think folks will come to the table as and when is necessary as they start to see export pipeline capacity tighten up. In fact to further say, I guess the backdrop of last full years, companies large and small are not reluctant but very, very careful about making any kind of long-term commitment for assets and infrastructures and so that’s probably add an additional impact as well. We would expect that as we move through 2017, will probably be engaging more constructively in those conversations.
Robert Kwan: Okay. And although the timing I guess really doesn’t necessarily match-up on the potential and service date, do you sense though when you’re out talking to customers that the TMX resolution is holding customers back whether that’s just a line of sight on export capacity and/or the interest in whether they actually want to be in Edmonton versus Hardisty?
Stew Hanlon: Yes, I think potential for TMX expansion certainly has people thinking in terms of, okay, do I want to in Edmonton or Hardisty? What proportion of my capacity do I want to in each of those different markets? Keep in mind that TMX approval should have come in the fourth quarter and we certainly hope it does is still – that still means that potentially in-service date for Trans Mountain is several years off. And I think that we’re going to see tremendous amount of crude oil production coming on from the oil sands in that interim timeframe. And so I think folks are thinking about all of those differences variables and trying to line up their capacity to make sure that they’ve got the ability to get their product to market.
Robert Kwan: Got it. My last question here on rail, just thoughts on sighting rail up in Fort McMurray and a producer just feel that that’s more of a long-term transportation mix and why it takes the pipes to get down to the hubs. Just wondering your thoughts on that, and how you might be positioned to participate on?
Stew Hanlon: Yes, I’d say this, I guess we haven’t had a tremendous amount of interest shown in crude by rail coming out of Fort McMurray. There are some challenges with respect to just the overall – it’s a topography I guess, getting a large scale of very heavy rail infrastructure into that area. You also look at the pipeline capacity downstream of Fort McMurray into both Edmonton and Hardisty and there’s a tremendous amount of capacity from all of the heavy oil and oil sands regions into both of those markets. And so I would say that there’s certainly pipe would have an advantage in terms of the first leg of the journey so to speak. So our expectation is that crude by rail will be increasingly important out of Western Canada, but it’s going to be important from probably the Edmonton and Hardisty areas respectively.
Robert Kwan: Got it. [Indiscernible] finished on acquisitions. Stew, you talked about infrastructure in the U.S. probably smaller scale, that’s just high level though. How does your experience with businesses impacted by the downturn I guess I’m specifically thinking about environmental services business in the terminals that you had bought. How does it change your approach to looking at additional acquisitions as we go forward, especially as you think about whether it’s volumetric exposure or even just short-term contracts where it well over there could impact you?
Stew Hanlon: Yes, I think to answer that question I would say look at – look at the sort of our, the evolution of our strategy towards the infrastructure segment and the concentration of our investment in the infrastructure segment over the last two years and our plans on a go-forward basis. The acquisitions that we had done previously, particularly the OMNI acquisition in the United States while important and incredibly a good company, we has shown that – those more service oriented businesses are certainly prong to be more cyclical as they react to upturns and downturns within the energy space. And so, well those businesses give us a tremendous platform and a tremendous capability in the United States. I would say that from a future perspective – particularly as it relates to major organic and/or M&A activities will be biased towards taking those platforms and build out contracting infrastructure as we’ve previously talked.
Robert Kwan: Okay, that’s great. Thank you very much.
Stew Hanlon: Thank you.
Operator: Thank you. The next question is from Ashok Dutta from Platts. Please go ahead.
Ashok Dutta: Hi, good morning. Stew, had a good question, you mentioned about pricing competition likely to become a more intense. Could you quantify that, by when do you see that happening or has it already started taking groups and what percentage – by what percentage are you expecting prices to go up, please.
Stew Hanlon: What I had intended to say was that – yes, pricing pressures will remain intense not become more intense. I don’t think we’re going to see a tremendous down – tremendous additional downward pressure on our pricing. Having said that there is a tremendous amount of excess capacity particularly in the – more service-oriented businesses that we have attracting environmental services et cetera. And so I wouldn’t expect that we’re going to see – we are not going to have the ability to materially improve pricing at least for the next several quarters while we sort of still cap as an industry to excess capacity. So I wouldn’t look for a large or a material downward pressure in terms of percentage what I see – material percentage improvement in pricing. I guess what you see is what you’re going to get for the next little while.
Ashok Dutta: Okay. All right. Thanks.
Stew Hanlon: Thank you.
Operator: Thank you. The next question is from Jeremy Tonet from JPMorgan. Please go ahead.
Jeremy Tonet: Good morning.
Stew Hanlon: Good morning.
Jeremy Tonet: I just want to follow-up on fluid trucking a bit here, it seems like there was a bit of a bounce back from 2Q. I just wondering is that – is that forest fire related or something else and at the same time water didn’t seem to bounce back as much so I’m just wondering if you could provide a little bit more color there?
Stew Hanlon: Yes. In terms of the crude and other products falling, we would normally expect to see a bounce back in Q3 over Q2, particularly because Q2 is heavily impacted by road bans and the freeze up or coming out of the freeze up in Western Canada. So that’s probably what you are seeing, whereas the water hauling business that we have is more heavily concentrated in the U.S. which doesn’t – which is not impacted by those seasonal weather patterns that we would expect in Canada. So that’s probably the majority of the difference. Having said that though Q3 we did – we did start to see a gradual improvement in activity levels in recasts and that sort of thing, so that was part of the bounce back as well. But I would say mostly its just a normal sequential seasonal movement.
Jeremy Tonet: Okay, great. That’s it from me. Thank you very much.
Stew Hanlon: Thanks Jeremy.
Operator: Thank you. There are no further questions. I’d now like to hand the call over to Tammi Price.
Tammi Price: Thanks again for your interest in Gibsons Energy. As mentioned earlier, Cam and I are available after the call if there are more questions. Have a good day everyone.